Operator: Good afternoon, and welcome to the Yext first quarter earnings conference call. [Operator Instructions] Thank you. 
 I would now like to turn the call over to James Hart. Please go ahead. 
James Hart: Thank you, Stephanie, and good afternoon, everyone. Welcome to our quarterly conference call. With me today are Howard Lerman, CEO of Yext; Jim Steele, President and Chief Revenue Officer; and Steve Cakebread, CFO. As a reminder, this call cannot be taped or otherwise duplicated without the company's prior consent. 
 Before we begin, I would like to remind everyone that this call may contain statements that are forward-looking, and that term is defined by the Private Securities Litigation Reform Act of 1995. These forward-looking statements include, but are not limited to, discussions regarding industry outlook, opinions, expectations regarding the performance of the company's business, its liquidity and capital resources, its transactions and other nonhistorical statements in the discussion and analysis as further described in our press release. These forward-looking statements are subject to certain risks, uncertainties and assumptions, including risks related to the general, economic and business conditions, and are based on management's beliefs as well as assumptions made by an information currently available to management. 
 When you listen to this call, the words believe, anticipate, estimate, expect, intend and similar expressions are intended to identify forward-looking statements. All forward-looking statements made today reflect the company's current expectations only. And although management believes that its expectations reflected in these forward-looking statements are reasonable, the company undertakes no obligation to revise or update any statement to reflect events or circumstances that occur after this call. Important risks, uncertainties, assumptions and other factors that could cause actual results to differ materially from these forward-looking statements are identified and discussed in the reports filed by Yext with the Securities and Exchange Commission as well as in our press release that was issued this evening. 
 During the call, management will provide certain information that will constitute non-GAAP financial measures under the SEC rules. Certain information required to be disclosed about these non-GAAP measures, including reconciliations with the most comparable GAAP measures, is available in the earnings press release that we issued this afternoon. 
 With that, we'll begin by turning the call over to Howard. 
Howard Lerman: Thank you, James, and welcome, everyone, to Yext's first earnings call. Today, we're going to give you an update on our first quarter results, and we're going to discuss how we're building incredible products for customers and creating long-term value for our shareholders. 
 First, we'll talk about the results. We are very pleased with our achievements this quarter. Revenue growth of 37% over the last -- over the first quarter last year. Gross profit margin at an all-time high. For the first time, we hit 20 million attributes on our platform, and we closed the quarter managing more than 1 million locations, a major milestone and nearly double where we were at the end of 2015. These are all great results and affirm our belief that we have the potential to create a very large company. 
 We are incredibly excited about the future of Yext. This is our first call as a public company. We thought it would be helpful to talk you about why we're so excited and how Yext is addressing the significant opportunity in digital knowledge management. We are witnessing the explosion of intelligent services like universal search, smart maps, voice search, digital assistants. It used to be when you search for something, you get 10 blue links back on a page. You'd click the link you want, you'd leave the search engine and you end up in a website. But today's services are becoming intelligent and give you a direct answer. Let me show you what I mean. Siri, what's the address of the nearest Panera?
 [Presentation] 
Howard Lerman: There is no web result there. Siri knows the answer directly and just tells you. Now it's one thing to know Panera's address, but what about for something more complicated like, "Okay Google, where can I find broccoli cheddar soup near me?
 [Presentation] 
Howard Lerman: Now in order to answer this question, Google's got to know the precise menu details of nearby restaurants, find the exact soup I want and decide which one to show. These kind of intelligent answers are eating web results and this has enormous implications for every business on the planet. See, their websites used to be the center piece of their digital experience. But now at the exact moment of intent, it's maps, it's voice search, it's knowledge cards with direct answers. In fact, we ran a study that showed our customers receive 4.8x more customer actions from intelligent services like maps than they do from their own websites. This trend is why brands are investing in digital knowledge management, a new market for Yext, the pioneer and leader. Yext is a knowledge engine that lets our customers manage their deep digital knowledge in the cloud and sync it to over 100 intelligent services like Siri and Google Home and also Apple Maps and Google Maps and Facebook and Bing and Yelp and others in 90 languages and dialects and 160 countries around the world. So if Panera changes an item on their menu, they simply enter that into Yext and boom, it's automatically updated across hundred of our partner services. The world's biggest brands like McDonald's, like Farmers, like Tesco choose Yext for their digital knowledge management because of the strong measurable return on their investment, ROI, from our platform, because we are the innovation leader. And most important, because our network puts them in control of their digital knowledge everywhere. 
 Intelligent services seeking to understand and assist you, need to know the details about everything. Google's got a brain like database called the Knowledge Graph that contains real world things and their connection. Maintaining a giant database with everything in the world and how it's related is an enormous ongoing effort. And so intelligent services are hungry for knowledge, and they can pilot from many different places like web crawling, third-party lists and user-generated content. Their algorithms decide which source is the authority for a given entity. At Yext, our founding principle is that a business is the ultimate authority on its own knowledge. And a website used to be the best place to convey this knowledge. But today's services don't give back blue links that they used to do. Success in the Age of Intelligence means that business has got to show up in third-party services. The problem is that updating over 100 services manually is not realistic or possible. 
 First, most services don't allow access to a business to change its own information. You can't just call up Apple to update Siri, for example. Next, digital knowledge is dynamic. We see on average a 1/3 of the attributes in Yext change every quarter, as restaurants change their menus, stores change their hours, hospitals change physicians, financial firms add and remove agents. The number of services out there, the lack of access to update those services and the sheer volume of changes mean that an automated solutions like Yext is the only way. And that's why we made the big investment to build a network, over 100 direct proprietary API integrations with the world's leading services. Yext customers simply enter their digital knowledge into our engine and it ranks ahead of the other sources, intelligent services [ pull in ].
 Now this was a huge break through, that one of our key publishers called Yext on Top. Building this network with Yext on Top for a number of our key publishers was incredibly hard, and we believe it is one of the factors that provides us with a sustainable advantage. The scale of our knowledge base makes Yext important to the providers of intelligent services, and we are benefiting increasingly from a network effect. The more knowledge our customers enter in the Yext, the more access we receive in publishers like Google. The more excess we have, the more compelling our value proposition is to our customers, which in turn provides us with more knowledge. 
 One example of this is our brand new Yext for Menu feature we launched just last month. Now Yext customers in the food service industry can update their menus right in the front of Google. You search for example for Panera menu, you'll see their menu pop up right there in the front of the search results, that's how Google Home knew Panera with the relevant results for my broccoli cheddar soup question earlier. 
 Menus is just one example of a new kind of entity we can manage for our customers. Our long-term vision is to enable our customers to manage every kind of entity, all their deep knowledge, the detailed attributes about their products and services with platform features from knowledge across the enterprise, synch to every digital service in every vertical in every language in every country around the world the market that Yext is pioneering in digital knowledge management is substantial. When you consider our ability to introduce new entities like menus and like loan officers, to add new platform features like our recently launched intelligent search traffic and to broaden our network with new digital services such as Yell, the leading online business directory in the U.K. and newest member of our PowerListings Network and, of course, to expand into new geographies and new verticals. If you look, for example, just at the location entity, there are more than 100 million listings in Google Maps, and we believe that at least a $10 billion addressable market just right there, which we are less than 2% penetrated in today. And that opportunity doesn't even contemplate other entities like people, like products, like events. 
 We believe this is the winner take all market. And with such a large market opportunity, we are investing aggressively to capture additional share. This includes the investment in innovation I just described. And we're still in the early stages building out our sales capacity and establishing our brand. 
 During the first quarter, Jim Steele joined Yext as President and Chief Revenue Officer to help us scale the business globally. Jim was at Salesforce for 12 years, helping grow to $5 billion of revenue. We also brought on David Rudnitsky to help lead North American enterprise sales. Dave got about 135 years of technology sales experience at Ariba and Netscape and Oracle and wrote The Sales Playbook used at Salesforce and was even featured in Marc Benioff's book, Behind The cloud. We are already seeing the positive impacts from Jim and Dave. They are -- these guys are putting the foundation in place to build an enterprise-class sales organization. We believe the work that they're doing is going to drive our growth for many years to come. 
 In fact, we've got Jim here right now, and I'm going to turn it over to Jim to talk a little bit more about that. 
James Steele: Thanks, Howard. I've been with Yext now for 4 months and have spent much of that time talking with our existing customers to better understand their experiences in working with us. I've heard about the incredible ROI that our solutions deliver, how responsive our customer services team are and how these companies see Yext as an innovator and trusted partner. I've also been introducing Yext to potential new customers as well. There is no substitute for hearing directly from the Head of Marketing or Brand at the biggest and best-known companies in the world. They're telling me about the challenges they've been facing as they look to adapt to this new world of intelligent search. I've heard their frustrations as they've tried to apply traditional techniques to manage their digital knowledge, but they're seeing inconsistencies and inaccuracies negatively affect the customer experience. This hurts their brand and costs them revenue. And to hear from our customers that we have the solution that will help resolve these frustrations is incredibly exciting and motivating for me. I've also been meeting with our sales teams to better understand what is working well for them and where we can improve processes making it easier and faster to convert prospects in the long-term customers. 
 Taking the resources that we already have and helping to make them more productive is a fundamental component of creating a world-class sales team. But it's equally important to increase our sales capacity. When we look at our market opportunity, we believe we're underpenetrated across each of our geographies, our verticals and our segments. Sales capacity is a constraint to our growth, so we expect to address this by continuing to add additional resources. 
 During the quarter, we added more than a dozen quota carrying sellers. We will continue to add high-quality reps with a focus on increasing our ability to aggressively attack the midsize and enterprise segments. We know the skills that are necessary to grow within these segments and are putting in place a go-to-market strategy that will support our team's success. 
 Digital knowledge management is a global opportunity, and we've been expanding our presence outside the U.S., particularly in Europe. We recently hired leaders from both Central and Southern Europe, and added senior level talent with experience from brands like eBay, Facebook and Google. Today, only a single-digit percentage of our revenue comes from outside the U.S. As we continue to build out our presence in Europe and get started in Asia, you should expect international will become increasingly more impactful to our results. Globally, we added about 50 new enterprise logos in the first quarter, including one of the world's largest shipping and postal companies, one of the largest food and drug retailers and leading brands in food services, automotive, health care and financial services, including Volvo, University Health, TCF Financial, BBVA Compass, Kiehl's, Washington Federal and PostNet. These are just the brands we have approval to disclose, and this list doesn't include upsells we sold into our existing accounts in Q1 at brands, including Steward Health Care, Pep Boys, Denny's and AutoNation. And after these 4 months in the job, I'm more excited than ever about the opportunity here at Yext. I've been selling technology solutions throughout my career, not quite 135 years like my colleague Dave Rudnitsky, but I've built that successful enterprise class sales teams at IBM, Ariba and Salesforce. I look across Yext and see that we have all the necessary ingredients to repeat that here, a large and growing market opportunity, a history of innovation and a very strong product development pipeline. 
 With that, I'll turn things back over to Howard. 
Howard Lerman: Thank you, Jim. I couldn't be more pleased with the energy and experience that Jim and Dave have brought to our team. Building a world-class sales team is critical for generating rapid growth for many years to come. We are also investing to build awareness of our brand. This spring, we've been hosting Yext on Tour stops across the United States. These events let prospects learn about how leading companies are responding to the new playbook in the world of intelligent services. And on November 1 and 2, we're hosting our Annual Conference in New York City. You are all invited to attend. We will have a great agenda focused on how digital knowledge is powering the Age of Intelligence. And this week, we published our latest white paper, The Everywhere Brand. The rise of intelligence has changed the traditional marketing playbook and this paper reveals the 7 traits of the brand to recognize this shift and responded to the opportunities. Every bit of information that's currently sitting unstructured on the company's website will need to be structured for the world of intelligence. It's our vision to do just that. And it's our mission to put our customers in control of their digital knowledge everywhere. We have a tremendous opportunity to execute this vision. We believe we're in the early innings, and we are taking a view for the long term, as the world moves to intelligence powered by the currency of knowledge. 
 And with that, I'll turn it over to Steve for more color on our financial performance. 
Steven Cakebread: Howard, thank you. Let me begin by reiterating that we are pleased with our first quarter. It was a strong start to the year. Before I take you through the details, I wanted to open with a quick background on our financial model. Like most SaaS providers, our business model is based on subscription contracts that drive recurring revenues. Our typical contract is billed annually, but we see a mix of billing terms, including monthly, quarterly and semiannually. And as we renew business, we look to book longer contract terms, but the billing terms will continue to vary. 
 So now on to our first quarter results. Revenue increased 37% over the first quarter of fiscal 2017 from $27.1 million to $37.1 million. This growth was driven primarily by the continued expansion of our customer base. On the basis of this revenue -- this quarter's revenue, this provides an annualized run rate of nearly a $150 million, demonstrating our clear leadership in the digital knowledge management. 
 Since 2015, our annual dollar net retention rate has been in a fairly consistent range, and we continue to observe similar levels on a trended basis this quarter. We believe the consistent performance of this metric reflects the quality of our service and the growing acceptance by customers to the power of our platform. Gross margins in the quarter were 73.9% as compared to the 67.4% in the first quarter of fiscal 2017. Publisher costs are the largest component of our cost to revenues. And we're seeing leverage as the fixed component of these costs are being spread over an increasingly larger top line. Overall operating expense increased from $27.6 million in the year ago quarter to $42.8 million. This increase was driven primarily by 2 items: First, higher sales and marketing as we brought on teams in Central and Southern Europe, for example. As Howard described, we continue to invest in our sales distribution and as we expand our geographic footprint and quota carrying headcount. And second, increased G&A due in part to ongoing costs associated with the transition to becoming a public company. 
 Our GAAP loss increased from $9.3 million in the year ago quarter to $16.7 million. However, we focus on non-GAAP earnings that exclude stock comp as a better reflection of our business operations. Our non-GAAP loss, which excludes the impact of stock-based compensation expense increased from $7.7 million in the year ago quarter to $12 million this quarter. On the basis of nearly 90 million shares, our non-GAAP loss per share of $0.13 in the quarter compared favorably to the $0.25 loss reported a year ago. In reporting non-GAAP loss per share this quarter, our share count assumes that the shares we issued in the IPO and the conversion of our preferred stock happened at the start of the quarter. We make the same assumption for exercises of options and warrants and vestings of our issues during the period. We believe this approach provides better comparability of this quarter's results to future periods, although this differs from the traditional GAAP calculation of shares outstanding, which uses a weighted average. For a comparison of our historic non-GAAP results to GAAP, you should review the press release we issued earlier today, which includes a reconciliation of share counts. We ended the quarter with nearly a $134 million in cash, up more than $109 million from year-end. Cash used in operating activities this quarter was $8.3 million and reflects the start-up of our European operations, the timing of payables and the mix of our billing terms this quarter. Deferred revenue was $57.5 million at the end of the quarter, up approximately 50% from the first quarter last year. Just note that deferred is not a reflection of our business momentum due to the fact that customer base has different billing terms and quarterly seasonality and billing mix will impact this number quarter-to-quarter. 
 Turning now to our expectations for the upcoming quarter and the rest of the fiscal year. We've never been more enthusiastic about our growth opportunity. Our market is expanding globally. We see businesses of all sizes increasingly embrace digital knowledge as a must-have in their branding playbook. Because we have the leading market position with the best publisher network and most comprehensive platform, we believe we're well positioned to capitalize on these opportunities and expand our market share. To best meet our opportunities and take advantage of the market leadership, we are accelerating our investment in sales distribution in the second half of the year. We expect it takes up to 9 months for [ a seller ] to ramp and this is factored into our guidance. With the strength of experience of our sales leadership, we're confident in the go-to-market strategy and our ability to execute. 
 In the second quarter, we expect revenue of between $40 million and $40.5 million. For the full year fiscal 2018, we expect revenue of between $169 million to $170 million. In terms of profitability, we expect in the second quarter non-GAAP loss per share of between $0.13 and $0.15. This assumes a share count of 190 million shares. For the full year, we expect non-GAAP loss per share between $0.48 and $0.52 and, again, it's based on an assumed share count of 90.3 million shares. This guidance takes into consideration and acceleration investments that we're making to expand our sales capacity domestically and to build out our capabilities internationally in light of the strong customer demand that we're seeing. We also still expect to be cash flow breakeven by the end of fiscal 2019. 
 So to conclude, our year has gotten off to a great start, and we're pleased with our results. We have introduced exciting new features. The product pipeline is very strong. We believe that market opportunity, a strong competitive barriers and a proven management team to build a very large and successful SaaS business over time, which will enable us to build significant shareholder value. 
 With that, I'll turn it back to James. 
James Hart: Thank you, Steve. We're now ready to begin the question-and-answer portion of our call. Stephanie, could you please provide the instructions. 
Operator: [Operator Instructions] Our first question comes from Alex Zukin with Piper Jaffray. 
Aleksandr Zukin: I wanted to ask, maybe first for Steve. You mentioned this towards the end of your prepared remarks, around the potential for revenue growth acceleration as you think about it given the potential to increase productivity around the recent enterprise hires. What -- can you may be drill into the time lines associated with that? And then I have a follow-up for Howard. 
Steven Cakebread: Sure. As I mentioned on the call, I mean, we're clearly making the investments to hire additional sellers in the second half. And as we've discussed before, there is a 9-month ramp for most of these sellers and then there is a period of time under which it'll take them to start to do business and get contracts. So we're really looking at revenue benefits later next year and into the following year. And we'll, obviously, talked about fiscal year '19 guidance later this year as well. 
Aleksandr Zukin: Got it. That's helpful. And then Howard, as you look at your market, there are some really large companies like Google and Amazon, as you mentioned, talking about locations as being incrementally critical for commerce. So maybe can you talk about your relationships with those companies and how you're helping enable any of those initiatives? 
Howard Lerman: We've got great partnerships with services -- with companies like Google and Facebook. Around the world, every single one of these intelligent services is going to need to have knowledge to give you an answer. I demoed this Google Home, for example, on this very call, where I asked for broccoli cheddar soup near me. And she returned Panera. The Result that she returned, the Panera result was put there by Yext and the reason that Google knew that Panera had broccoli cheddar soup on the menu was because Panera took advantage our new menu feature and put it in there. So I would say that for most intelligent services around the world, they're expanding the kinds of knowledge that they want to incorporate into their results. Today, it's locations. Recently, it's menus. Every industry has its own unique kinds of entities that intelligent services need to know about in order to give you an answer, and they used to get these answers by crawling the unstructured web, and they still do that, but it's becoming more and more efficient to simply supply that knowledge in a structured way to them directly. And so the opportunity we see is to help every company in the world structure all their public knowledge in a way that can be easily supplied to the world's intelligent services. 
Aleksandr Zukin: Got it. That's helpful. And then maybe one for Jim, just to round it off, a lot of new sales hires, yourself included, how do you think about scaling the organization and dealing with kind of potential disruption of growing the sales organization at the rate that you guys are? 
James Steele: Yes. Well, Alex, we had the same challenge in the early days at Salesforce, and we managed it, number one, by hiring great people. And I'm fortunate to be inheriting a team that's already done an amazing job. We're so much farther ahead with me joining Yext than I was in 2002, when I joined Salesforce, we didn't have an enterprise team back then. We didn't have any enterprise customers. So this company is already way ahead by landing some amazing logos and having an amazing sales organization. So my goal is to take the formula that's working already here and expand it internationally, and that's what we're starting to do in Europe. We'll look to do that at some point in Asia. And even in the U.S., there's so much white space. We're barely scratching the surface. We are really at our infancy. And -- so there is no plan to do any major reorgs or changes that will disrupt anything other than adding capacity and hiring great people to do that. So that's my number one goal and at the same time, to make sure that we have scale on the account management side, the customer success side to ensure that these customers are onboarding, and they have a great experience with us. 
Operator: Our next question comes from Mark Murphy with JPMorgan. 
Albert Chi: It's actually Albert on -- Albert Chi on for Mark Murphy. So Howard, I want to ask if you can comment about broad trends that you're seeing in your top verticals such as finance, retail and health care. And maybe could you talk about the traction that you're seeing with your vertical specific offerings such as the physician pages, the insurance and I think what I just read was the mortgages product? 
Howard Lerman: Everyone vertical has its own type of unique entities. So health care, for example, has the physician entity and it has the hospital entity. And each of these unique types of entities has its own kind of digital attributes that need to be managed and physicians have the credentials. They have -- where they went to school, they have -- what insurances they accept. Hospitals have, for example, the drop off point of an ER to hospital campus. So every industry has its own unique kind of digital knowledge and industries also have different types of services that people use to consume things. In the health care industry, you've got people looking on sites like vitals.com or doctors.com to look up a doctor. And so this presents Yext with the opportunity to manage all kinds of different entities in many different industries. And in the health care industry, for example, we've had some great success. We even have, as a add-on, upsell for our PowerListings Network, a package that includes 7 health care specific sites that enables doctors and hospitals to manage their doctor profiles on health care sites. So the opportunity to kind of verticalize and tune to many different industries is enormous. Our religion around this is schema.org. So if you look at schema.org you'll see a road map. This is an open standard agreed upon by Google and Facebook and Apple and -- I'm sorry, Google and Facebook and Microsoft. And this is a way to define objects and entities that are currently on the web in a structured way. That's what we kind of look to as a guide for being able to do this. I look at a thing like menus as an example of verticalizing in the food services industry. So I think there's a lot of opportunity to essentially build the types of digital knowledge that a company wants to publicly put out there. Today, that's reflected on their website. Tomorrow, that's reflected across a number of intelligent services. We've seen a lot of success in our health care vertical. We obviously just launched our Yext for Mortgage. You can expect to see more verticals for us coming soon. 
Albert Chi: Great. And then -- and maybe just one for Steve and/or Jim Steele. So I want to ask about the upsell motion or opportunity that you're seeing with the largest clients. And as you've moved up market, are you seeing large chains, for example, deploying Yext across all locations at once? Or is it starting out at a small geography and expanding outwards? Or is the upselling coming more from your add-on such as your pages and listings products? 
James Steele: Yes, it's actually coming from all of the above. So existing customers will sometimes -- they'll start in a region. And as they achieve success, then they expand to other regions. We have an example that we shared on the roadshow of a large shipping company. It's a global shipping company. We happen to have their U.S. business right now, but it started 5 years ago with a small footprint where they spent probably $40,000, $50,000 a year. Today, that same company spending over $750,000 a year. And it's a combination of them expanding to multiple regions and, therefore, a greater footprint, but they also upgraded to our higher-value offerings. So we added more features and functions in our packages. And I think you probably seen that where we have our starter kit up through our ultimate and many of our customers that start with us at starter or professional move up to ultimate, and we're pushing obviously that. And -- so that's really where the growth is coming from. And in that particular case, we don't yet have their international business, but that's obviously an opportunity for us. So it's upselling the number of licenses or number of locations as it is today, number of entities because they're -- when you're talking about like hospitals and health care, there is not just the hospitals and the medical facilities, but there's also the doctors as they're all considered entities that we can sell to and then expanding geographically as well. 
Operator: Our next question comes from Brent Bracelin with Pacific Crest. 
Brent Bracelin: I'll start out with Howard here. I wanted to know if you could provide a little more color on the Yell deal in the U.K. I know that Dex clearly has been meaningful channel for you in the U.S., I think north of 10% of revenue in the next couple of years here. So walk through what's the Yell deal in the U.K. mean? How big of an opportunity could that be for you? 
Howard Lerman: First, I just want to correct that, Dex was not 10% of our revenue last year. And so I just wanted to correct that. So Yell is in the U.K., an exciting partnership on a couple of fronts. First, they're a channel partner of ours, and that's a great way to reach businesses in the United Kingdom. But what we announced just yesterday was that Yell, their publishing asset has joined the PowerListings Network. Remember, our growth is going to be driven by a few key things. First, new entities, that is, hey, we launched menus or we launched Yext for Mortgage. There's new types of entities we can manage for our customer. Second, getting into vertical publisher sites like the health care sites I talked about. Then, of course, new geographies, moving people up subscription packages from base to ultimate. And then the last is new intelligent services, which we may charge for in the future, if we want to. But in the case of Yell, they are one of the leading local search apps in the United Kingdom. We, in the United States, don't really know about them. They kind of are like the Yelp, if you will, of the U.K. And most people in Great Britain will have used them. They are now part of the PowerListings Network, allowing our global customers to have locations in the United Kingdom to sync their digital knowledge into Yelp. 
Brent Bracelin: Very helpful. And then Jim, just shifting gears here, it's clear Yext has an open-ended opportunity now in increasing number of product offerings. I look at that as both an opportunity and a challenge where to focus. Yes, my question for you is in the next year where are you placing the biggest bets from a sales strategy standpoint? Is it enterprise? Is it international expansion? Help us understand, where you're focused in, and what you think you can do this year that's going to have the biggest impact? 
James Steele: Yes. Well, again, in the roadshow, we talked about how a year ago only 11% of our sale -- of our headcount in the company was in sales. And we finished the year at 15% and our goal was to get to 20%. And that's kind of what you're seeing here in terms of this additional investment. And that's a pure reflection of the opportunity that we see. We -- like Howard said, we're in this kind of landgrab winner take all opportunity here and we're well positioned competitively. Yet, there is so much white space. I mean, I think Howard talks about less than 2% penetration of this market that we've got. So even in the U.S. like our enterprise team was basically nonexistent just a couple of years ago. So it's really just been a couple of years that we've been building it. And you can see the big global brands that we're starting to -- that we've been winning. I mean, it's pretty amazing. So we believe that there is tremendous opportunity in the enterprise here in the U.S. for sure and also mid-market. We just built our mid-market team really less than a year ago. About a year ago, we started to put that team in place. So I'd say mid-market and enterprise are the top priorities. And then Europe, we only opened the doors in Europe, in Central Europe. Our Berlin office just opened in the last 6 months, same with France in Paris. And the U.K. has been opened for like less than a year. So we have huge opportunity there. And you saw in our numbers that we only have single-digit percentage of our revenue coming from outside the U.S. and that to me is exciting, and it's our multinational companies in the U.S. that are pushing us to have a global solution, and we've got 80-plus -- our solution running in 80-plus different languages and 150-plus countries. And so we're going to take advantage of that. And -- so again, it's enterprise, it's mid-market and it's international. 
Brent Bracelin: Very helpful. And then my last question is for Steve here. As you think about kind of that, that enterprise and mid-market kind of focus, I know you've given us some kind of growth rates on that segment. I'm not sure if I missed it or not, but any additional color on the success of the enterprise mid-market this quarter relative to growth rates or customer count? 
Steven Cakebread: Yes. As Jim said, we brought on a lot of new logos, and they were mostly in the enterprise and mid-market space. I think that's a good indication of it. But we haven't really talked about growth rates, particularly in each of the segments, but suffice it to say, I think with the sales team getting put together in North America with the Jim and David coming on, we're pretty excited about our enterprise and mid-market approach. Clearly, the sales reps and people that we're going to start to find and hire over the second half of this year and bring them on board are going to be targeted at those markets. 
Operator: Our final question comes from Stan Zlotsky with Morgan Stanley. 
Stan Zlotsky: So one for Howard, and we've touched on it a little bit: verticalization, right? It's a big theme in software in general. As you -- Howard, as you look at Yext over the next, let's call it, 3 to 5 years, how much of your product offering do you expect will still be this large horizontal platform versus these more specialized, verticalized offerings such as Yext for Mortgage, Yext for Health Care? And then I've a couple of follow-ups. 
Howard Lerman: I wanted to take a step back and say, we are excited. I look at our opportunity to bring digital knowledge management essentially as in many ways the next-generation of a company's website. Every bit of information that's sitting on the unstructured web on a www is no longer being serviced in blue links in the same way like it used to. The web is a giant horizontal platform. So in that way, as the world moves towards intelligent services, as intelligent services like Google Home and Alexa and Facebook and other types of apps need structured answers to give you a direct answer instead of sending you to a company's website. There's going to be incredible opportunities to structure types of digital knowledge. One of the coolest things though is that, fundamentally, this big horizontal platform really does apply to a large number of businesses. Every business needs a website. Any business that needs a website is going to want to be in any of the horizontal publishers like Google or Google Home or Siri or Apple or Facebook in order to attract customers. So I see us expanding the types of entities that we can serve by structuring types of knowledge that might even get us into industries that we can't really serve that well today. So we're going to always have a big horizontal component to what we do, and we see incredible opportunity to simply grow with what we're really good at today even without going into new verticals, but the verticals that we can go into give us something more and something unique. And the cool thing about them is, like I mentioned a second ago, it's not just that these companies need a knowledge engine to help them structure the information in the first place, there's also vertical services that they need to have it sync to. And our health care vertical, which we only rolled out about a year ago, we've seen a lot of success there, and we've got 7 health care specific publishers that we can publish out and to. So I see us really always having that foundation of the horizontal platform expanding the kinds of companies we can sell to today by structuring new types of entities that we don't even offer and ultimately having deeper vertical solutions for many of the world's biggest categories. 
Stan Zlotsky: That's very helpful. And 2 quick follow-ups for Jim. We saw the press release a couple of weeks ago on the partnership with Vendasta. And I think it's a very interesting one considering that there were some competitive dynamics between you two -- you guys in the past. So maybe, Jim, if you could dig into that partnership going forward? And just on hiring environment, as you guys ramp-up hiring aggressively into the back half of the year, how are you -- what are you seeing out there from a hiring environment standpoint as in finding talent? 
Howard Lerman: Yes, it's okay. I'll take the Vendasta question, it's Howard, and then Jim will talk to your question about the hiring environment. One of the things that we're really -- we feel we have the best platform in the world for digital knowledge management. And this is a winner take all market, and we benefit tremendously from a network effect. The more knowledge we get, the greater access we get to publishers, which in turn increases our value proposition to a customer, helping us get more knowledge. We just passed 20 million attributes in a 1 million locations this quarter, and we're really excited about this base of knowledge of becoming increasingly important to intelligent services around the world that want to give you the right authoritative answer. So part of what we want to do to reach small businesses is partner. And Vendasta has reach into SMBs through their sales channels. And so they are one of multiple companies that we will give access to our platform to be able to build on top of, so they can build that into their own offering. We're going to stay really focused on doing one thing better than anybody else in the world, which is digital knowledge management. We don't offer a comprehensive marketing solution that could be [ conducts ] by an agency or by another company to give out to an end customer. It's a really important part of our strategy to have agency partnerships that are able to take what Yext does and do things with it and that might mean bundling other types of offerings. It might mean building on our platform. We believe that digital knowledge management is a platform in itself. You look at CRM, you look at -- these are companies that have built their businesses around a category -- these category-defining companies have built their businesses around essentially a new type of data within a company that becomes a platform in itself like CRM or like managing the person entity or employee entity within the company. And at Yext, we believe that knowledge -- digital knowledge is a category upon itself that deserves its own platform. So that's why we do these types of partnerships, and we're going to do more. 
James Steele: And Stan, this is Jim. To answer your second question about the hiring for the second half and you saw that we hired 12 sales people, quota carrying sales reps in the first quarter, and you'll see that -- we have an aggressive plan here for the balance of the year in enterprise, mid-market and in Europe. One thing about going through the IPO, we have now created a lot of visibility for the company and that combined with the 135 years of experience of Dave and his team and myself. 
Howard Lerman: No, no, that's not -- you guys individually have that much. 
James Steele: Okay, 270 then. We know a lot of people out there that have been successful in the SaaS world. And I would say that -- I've said this before that our 2 biggest inhibitors are just the awareness of our company and our capacity of our sales team and the visibility that we have now as a result of the IPO and bringing in people like Dave attracts a lot of people that want to be part of a company that's being disruptive to the industry, that's got a distinct competitive advantage and is growing at the rate that we're going at with the opportunity that we have in front of us. So finding the talent is not at all a problem. It's -- we will not have a problem in finding the right people. We've already seen that... 
Howard Lerman: When we announced that Jim joined the company, I got hit on LinkedIn by like 100 people saying, are you hiring? 
James Steele: So we have to be very careful in a way we hire into the right territories and the right verticals. And so that's really where our focus is. We're going to hire the best people that are excited about being part of this movement, this transformation that we're seeing with digital management. And that's really what -- what we're focused on. So I don't see any problem getting up to the capacity that I see we need to drive this business opportunity. 
Operator: Thank you. I will now turn the call back over to James Hart for any final or closing remarks. 
James Hart: Great. Thank you, Stephanie, and thank you, everyone, for joining us today. Feel free to reach back out to me if you have any follow-up questions, jhart@yext.com. Otherwise, we look forward to seeing you in a few months on our second quarter call. Thank you. 
Operator: Thank you. That does conclude today's conference call. You may now disconnect.